Executives: Andy Clark -  Gerald L. Hassell - Chairman, Chief Executive officer, President, President of the Bank of New York, President of the Mellon Bank N A and Member of Executive Committee Thomas P. Gibbons - Vice Chairman, Chief Financial Officer and Senior Executive Vice President Timothy F. Keaney - Vice Chairman, Chief Global Client Management Officer, Senior Executive Vice President and Chief Executive Officer of Asset Servicing Karen B. Peetz - Vice Chairman, Chief Executive Officer of Financial Markets & Treasury Services and Senior Executive Vice President Curtis Y. Arledge - Chief Executive Officer
Analysts: Alexander Blostein - Goldman Sachs Group Inc., Research Division Betsy Graseck - Morgan Stanley, Research Division Cynthia Mayer - BofA Merrill Lynch, Research Division Casey Haire - Jefferies & Company, Inc., Research Division Howard Chen - Crédit Suisse AG, Research Division John W. Stilmar - SunTrust Robinson Humphrey, Inc., Research Division Brian Bedell - ISI Group Inc., Research Division Glenn Schorr - Nomura Securities Co. Ltd., Research Division Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division Andrew Marquardt - Evercore Partners Inc., Research Division Gregory W. Ketron - UBS Investment Bank, Research Division Jeffrey Harte - Sandler O'Neill + Partners, L.P., Research Division
Operator: Good morning, ladies and gentlemen, and welcome to the First Quarter 2012 Earnings Conference Call hosted by BNY Mellon. [Operator Instructions] Please note that this conference call webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon's consent.  I will now turn the call over to Mr. Andy Clark. Mr. Clark, you may begin.
Andy Clark: Thanks, Wendy, and welcome, everyone. With us today are Gerald Hassell, our Chairman, President and CEO; Todd Gibbons, our CFO, as well as several members of our executive management team. Before we begin, let me remind you that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by the forward-looking statements as a result of various factors. These factors include those identified in the cautionary statement on Page 12 of the press release and those identified in our documents filed with the SEC that are available on our website, bnymellon.com. Forward-looking statements in this call speak only as of today, April 18, 2012, and we will not update forward-looking statements. This morning's press release provides the highlights of our results. We also have the Quarterly Earnings Review document available on our website, which provides a quarterly review of the total company and individual businesses. We will be using the Quarterly Earnings Review document to discuss our results. Now I'd like to turn the call over to Gerald. Gerald?
Gerald L. Hassell: Thanks, Andy, and good morning, everyone, and thanks for joining us today. For the quarter, we generated net income of $619 million and earnings per share of $0.52, which compares to $0.50 in the first quarter of last year and $0.42 in the fourth quarter of 2011.  Total revenues were up 6% sequentially. If you exclude the Shareowner Services business that we sold right at year end 2011, on a reported basis, revenue was up 3%. Now that improvement reflected the solid sequential growth in investment management and investment services fees. We clearly benefited from new business coming on board and improved market values. Now we achieved that growth in spite of the fact that levels of client activity remained lower than normal. Now as an indicator of that, volumes -- indicator of the volumes, the combined share volume on the New York Stock Exchange, the net effect was down 17% year-over-year and 10% sequentially.  Lower volatility in the currency markets also negatively impacted our foreign exchange and investment services fee revenues. Most of our other core investment services metrics showed positive trends. And in investment management, the key metrics we focus on are flows and investment performance. We had our 10th consecutive quarter of positive long-term flows of $7 billion, and we're pleased to see nice improvements in the performance of our U.S. equity products. So overall, the trends remain encouraging. While we can't control market conditions, we made good progress in controlling what we can, which is winning new business, managing our expenses carefully and strengthening our balance sheet.  On the new business front, in addition to the positive long-term flows and investment management, Asset Servicing had its strongest quarter in terms of new business wins in 12 months. I should also mention that during the quarter, in Asset Servicing, we were ranked #1 in our peer group in terms of service quality in both the R&M and global custody surveys. That speaks to our success of maintaining our focus on our clients as we transform the Asset Servicing business to simultaneously improve the client experience and business profitability. In fact, our quality scores rose year-over-year, which is encouraging.  On the expense front, we're seeing the early benefits of our operational excellence initiatives. On an operating basis, total expenses were up 4% sequentially, which mostly reflected higher litigation and legal expenses and some seasonal staff expense. On an operating basis, again adjusting for the sale of Shareowner Services, revenues were up 6% sequentially while expenses were up 4%, producing 200 basis points of positive operating leverage. In terms of capital, we generated nearly $700 million of Basel I Tier 1 common, and we delivered a strong 21% return on that increased level of equity. We also repurchased more than 17 million shares during the quarter.  The strength of our balance sheet was borne out by the results of the latest Fed stress test, which reflects the strength of our business model and the excellent quality of our balance sheet. The results also show our continuing ability to return capital to our shareholders while maintaining our strong capital position. As a result, there was no objection to our annual capital plan, which includes the continuation of our current dividend and the repurchase of up to $1.16 billion of outstanding common stock in the next 12 months. This is consistent with a combined dividend and share buyback ratio of 60% to 65% that we have discussed at our Investor's Day.  So again, nice progress in those areas that we can control. Looking ahead, we continue to believe the lower level of client activity is a cyclical issue and that our fee revenue should recover quickly as we return to normal levels of activity. In the meantime, we're focused on delivering a high-quality service and high standard of investment performance to support our revenue growth, reducing our cost through operational excellence initiatives and maintaining our financial strength, which is enabling us to rapidly return capital to shareholders.  So in summary, it was a solid quarter, and we're delivering on all of the items we laid out for you back in November at our investor conference. So with that, let me turn it over to Todd to go through the numbers.
Thomas P. Gibbons: Thanks, Gerald, and good morning, everyone. As in the past, my comments will follow the Quarterly Earnings Review, and let's start on Page 2. As I take you through the results, keep in mind that the first quarter of 2012 is the first quarter without our Shareowner Services business, which we divested at the end of last year, in fact, at the end of December. As a result, many of my comments around fee revenue and noninterest expense will actually exclude the impact of Shareowner Services. I would also note that we have adjusted some of our disclosures on those schedules to reflect this divestiture.  We had a solid quarter. Earnings were $0.52, which is a good reflection of our core performance, as we had higher litigation and legal expenses, and also had the impact, seasonal impact, of our equity compensation programs, and they were offset by an increase in securities and leasing gains. This compares to $0.50 in the first quarter of 2011 and $0.42 in the fourth quarter. Recall that the fourth quarter included a restructuring charge.  Highlights on a sequential basis. Total revenue was $3.6 billion, up 3%. If you exclude Shareowner Services, it was up 6%. Investment Services fees were also up 3% and also 6% excluding Shareowner Services. That increase was primarily due to improved market values, higher volumes and net new business. Investment management fees, excluding the impact of the seasonal performance fees in the fourth quarter were up 7%, driven by higher market values and net new business. FX and other trading was down 16% due to the significantly decreased volatility in the first quarter. Net interest revenue was off 2%. That largely reflects a bit of a smaller balance sheet and lower accretion, both of which were partially offset by increased investments in the high-quality investment securities portfolio. The provision for credit losses was $5 million. Noninterest expense for the quarter was down 3% on a GAAP basis but up 4% excluding amortization of intangible assets, restructuring charges, M&I expenses and most importantly, the direct expenses related to Shareowner Services.  We did a pretty good job of controlling expenses during the quarter. The increase was primarily driven by higher litigation and legal expenses and the seasonal impact of stock awards, as I'll get into in just a minute.  But first, turning to Page 4, we will call out some of the business metrics that help explain how our underlying performance is going. Here, you can see that AUM increased 4% sequentially and 6% year-over-year to a new record level of $1.3 trillion, with long-term inflows of $7 billion in the quarter. It benefited from strength in fixed income and actively managed equity assets. It was our 10th consecutive quarter of positive long-term inflows. While the level of long-term flows is lower than in some recent quarters, we saw a shift toward more active asset classes, which have higher fee realization. Assets under custody was up 3% sequentially and 4% year-over-year, also to a record level of $26.6 trillion, driven by net new business and higher market values. Most of the key metrics showed solid growth on a year-over-year basis. Loans and deposits are up. DR programs are up modestly, and most clearing and broker-dealer services metrics are up substantially. So the fundamentals that we control remain strong. However, there continues to be softness in volumes in volatility, and it has impacted our investment services business.  Looking at page -- the fees on Page 6, Asset Servicing fees were up 7% sequentially and 3% year-over-year. That's reflecting net new business and sequentially higher domestic equity markets as well as higher lending revenue, which was driven by better spreads. We had our best new business quarter in 4 quarters with $453 billion in new AUC wins. Over the last 12 months, new assets under custody wins have now totaled $1.2 trillion, with approximately $450 billion yet to be converted. Most of those conversions, we expect to occur over the next 3 months. Issuer service fees, excluding the Shareowner Services business, were down -- excuse me, up 2% sequentially and down 14% year-over-year. Sequentially higher DR revenue was partially offset by lower corporate trust fees. The year-over-year decrease resulted from lower money market fees and lower corporate trust fees. Those lower fees are driven by weakness in structured products, and we also saw a little lower DR revenue year-over-year. Our clearing fees were up 9% sequentially and up 4% year-over-year. The sequential increase primarily reflects higher trading volumes and growth in mutual fund assets. The year-over-year increase was driven by net new business and growth in mutual fund assets and retirement accounts, which was partially offset by lower trading volumes. So there were lower trading volumes year-over-year but higher sequentially, and there were also higher money market fee waivers on a year-over-year basis.  Turning to investment management fees. It is important to understand the impact of the overall AUM on our level of fees. We do have a balanced AUM mix with roughly 1/3 in equities, 35% in fixed income, 24% in money markets and the remainder in alternatives and overlay. In addition, we have a significant portion of assets under management that are impacted by global markets, more in international markets. Given these dynamics, roughly 50% of annualized investment management fees are actually correlated to equity markets. Of that total, over 2/3 are priced on a daily or monthly basis. The average level of market indices is important. As noted earlier, our boutique-managed assets across international emerging markets, the value of the FTSE and MSCI indices are just as important as the S&P 500.  Looking at the first quarter 2012 results, investment management fees excluding performance fees were up 7% sequentially and down 2% year-over-year. The sequential increase reflects the impact of net new business. The year-over-year decrease reflects higher money market fee waivers, partially offset by net new business. Equity values benefit investment management fees sequentially. That had little impact year-over-year and you can see this from the metrics. The S&P, FTSE and MSCI indices were up sequentially, both on a spot and average basis. But year-over-year, the S&P increased, but the FTSE 100 and MSCI indices were down, both on a spot and average basis.  As we've reported in the past, fee waivers continue to impact a number of our businesses, and our estimated aggregate impact to EPS this quarter was about $0.06. In FX and other trading, revenue was down year-over-year and sequentially. And when we look at the underlying components, FX revenue totaled $136 million. That's a decrease of 26% sequentially and 21% year-over-year. Sequentially, volumes were flat, but volatility decreased substantially, while the year-over-year decrease primarily reflects both lower volumes and volatility. The standing instruction alternative continues to be very important to our clients. Although we saw a decline year-over-year on the use of standing instructions as a percentage of all transactions, it increased sequentially. Other trading revenue was $55 million compared to $45 million in the fourth quarter and $25 million in the year-ago quarter. Both increases were primarily driven by a high fixed-income trading.  Investment and other income totaled $139 million in the quarter. That compares with $146 million in the prior quarter and $81 million in the year-ago quarter. Sequentially, it was down slightly, and that's because of the $98 million pre-tax gain on the sale of Shareowner Services in the fourth quarter, and that was somewhat offset by leasing and seed capital gains in the first quarter of 2012. The leasing and seed capital gains also accounted for the year-over-year increase.  Turning to page 8 of the earnings review. NIR was down $15 million sequentially and up $67 million versus the year ago quarter. The sequential decrease was primarily driven by lower average client deposits, a little lower accretion and that was partially offset by increased investments in our high-quality investment securities. This is consistent with what we told you what our NII strategy was going to be during investment -- Investor Day presentation in November. I should add that we had expected, as occurred, deposits to contract from the sharp rise that we saw late in -- at the end of the fourth quarter, so those deposits did leave us.  The year-over-year increase was primarily driven by higher average client deposits, increased investments in securities and higher loan levels, partially offset by lower accretion and narrower spreads. We would expect deposit volumes to continue to be volatile due to the uncertainty of the global financial markets and the potential for regulatory changes as we look forward. The net interest margin was 1.32% compared with 1.27% in the fourth quarter and 1.49% in the year-ago quarter. The sequential increase reflects increased investments in the securities portfolio and a decrease in lower-yielding interest-bearing deposits with banks. The year-over-year decrease was primarily driven by the increasing client deposits, nearly half of which were invested in liquid but very low-yielding assets.  Turning to Page 9, you can see the total noninterest expense. And here, if you exclude intangible assets, restructuring, M&I and, most importantly, the direct expenses related to Shareowner Services, it was up 4% sequentially and 5% year-over-year. The biggest driver for the increase was litigation and legal expense, which was up $60 million sequentially and $70 million year-over-year. The sequential and year-over-year increase also reflect higher incentive expense due to the vesting of long-term stock awards for retirement-eligible employees as well as higher pension expense. As Gerald noted, we are beginning to realize the benefits of our operational excellence initiatives, as reflected in lower business development, professional and other purchase services, compensation, net occupancy and software and equipment expense.  Page 10 details our capital ratios. Our estimated Basel III Tier 1 common equity ratio was up 50 basis points to 7.6% at quarter end. The improvement was driven by an increase in the value of our investment securities portfolio, earnings retention and lower risk-weighted assets, partially offset by share buybacks and dividends. Our Basel 1 Tier 1 common equity ratio was 13.9% at year end, also up 50 basis points from the end of December, driven primarily by earnings retention from the approximately $680 million of Basel 1 equity generated during the quarter.  On Page 11, you can see that our investment securities portfolio continued to perform quite well. The pre-tax net unrealized gain in our securities portfolio increased by $389 billion to $1.2 billion. Looking now at our loan portfolio, you'll see that the provision for credit losses was $5 million. That compares with $23 million in the fourth quarter and a 0 provision in the year-ago quarter, and NPAs have declined from $341 million to $331 million. The effective tax rate of 28.7% compared with 29.3% in the year ago quarter.  So looking ahead, in the second quarter, we should see a seasonal increase in DRs and securities lending revenues. NII should be relatively stable depending on the size of our client deposits. Fee waiver should be consistent with the last couple of quarters. The quarterly provision should be in the range of $0 million to $15 million. We continue to be focused on driving the expense savings through our operational excellence initiatives that we've laid out with you. We also expect to continue repurchasing shares in the second quarter. And as always, the time will depend on market conditions. The tax rate in the second quarter of 2012 should also be approximately 29%. So with that, let me turn it back to Gerald.
Gerald L. Hassell: Thanks, Todd. And I think we can now open it up for questions.
Operator: [Operator Instructions] Our first question today is from Alex Blostein with Goldman Sachs.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Gerald, I was hoping you could update us on the pricing dynamics and how those dialogues with clients are going and, I guess, when we could see a little bit more of a tangible result on the servicing pricing?
Gerald L. Hassell: Sure, Alex, thanks. I'll start, and then if Tim Keaney wants to jump in. We're still in the very early stages of it. I think, as we laid out for you in last November, we're beginning with the smaller clients. We're working through that process. On a net basis, we're positive, but it's a long drawn-out process. We want to make sure we're handling it the right way and we're getting good information from the clients on how they react to it and -- but on a general basis, it's been net positive, and we're off to a good start. Tim, do you want to add anything?
Timothy F. Keaney: Sure, Joe. Yes, as you mentioned, we're starting at the smaller client range. We've identified a universe of about 700 clients to go after first. We're about 50% through that process. We hope to be done to the entire universe in June. We've had about a 70% success rate, keeping clients at an increased rate. And I'm also encouraged that we've had about 9 larger clients, so clients that pay us over $0.5 million a year or more, that have come up for review, we've retained 9 out of 9 with an increase in fees. So it's still early days.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Got you. That's very helpful detail. And then just a follow-up on FX. I mean, it feels like the sequential decline was a little bit larger relative to some of your peers, JPMorgan down 11, State Street flattish, Northern down 15 or so. So it feels like everybody was operating in a similar environment. Volumes were flattish. Volatility came down a lot. So something -- is there something else going on why your results are down more than 20 sequentially? Or is it just a -- or is it just a mix of business, the volatility incurrences that you are more active in was sequentially weaker?
Thomas P. Gibbons: Yes, Alex, it's Todd. I would say it's consistent with what we have seen in the past. So the volatility impact was very direct, so the same percentage that we saw. The decline in volatility that would have impacted our earnings reflected right through to our numbers. The level of standing instruction actually rose a bit in the first quarter. But we saw, on a sequential basis, volumes, total volumes, were absolutely flat. I don't know, Tim, if you have anything to add to that.
Timothy F. Keaney: No, I would just say, Todd, looking forward, we see a huge opportunity to increase the percentage of volumes that should naturally be coming to us as custodian and asset servicer, and we're razor-focused on launching some new products to collect that volume. We're pleased with the launch of our Defined Spread program, which we launched in February. We've gotten around to about just about all the clients. Kind of it's very good news. About a little over half of the clients have decided to stay in our current range-a-day [ph] program. And about 40% or so have signed up for the new Defined Spread program. So we're watching very carefully. The key mission for us is to increase the volumes. And we're focused on launching the new products, and we'll be watching that quite carefully.
Operator: Our next question is from Betsy Graseck with Morgan Stanley.
Betsy Graseck - Morgan Stanley, Research Division: A couple of questions. One on expenses. Could you quantify how much the cost save program impacted this quarter? And then as you're talking about the next quarter outlook, could you give us a sense as to how it's likely to trend, given that you usually have a step-up in salary in 2Q?
Thomas P. Gibbons: Sure, Betsy. The -- it's hard to decipher exactly how much the cost save program has benefited, to tease it out in its entirety. We are seeing some significant benefits on the technology front. And the best ratio that we provide, I think, that will help you look at this is if you look at our investor -- Investment Services revenues relative to the related expenses, they did move from -- revenues are now 94% of expenses versus 90% in the fourth quarter. So it looks to me like there's a 100 basis points or so would be my best guess for what we're getting out of that. And then there was the follow-up, the follow-up question was on the merit increase?
Betsy Graseck - Morgan Stanley, Research Division: Right.
Thomas P. Gibbons: Yes, I think, seasonally, you're not going to see quite as much impact, because...
Gerald L. Hassell: In the second quarter. It will show up in the third.
Thomas P. Gibbons: Yes, it's going to show up in the third quarter. We're going to delay the increase until July 1. And there's also -- I want to bring to your attention that the accelerated of our -- acceleration of our equity programs, there's a seasonal impact to that. So as employees near retirement age, we recognize 100% of that expense in the period that it's granted. So that had a quite a big impact, probably at least a $30 million delta to what we would see in the second quarter.
Betsy Graseck - Morgan Stanley, Research Division: Right, okay. And then, separately, gross margins in your business and the Asset Servicing business obviously improved, which is different from what we've seen from other folks. Could you kind of speak to what you're doing there to drive that kind of result? And obviously, you've had the repricing, but you mentioned it's early days. So there must be something else going on there.
Gerald L. Hassell: I think, Betsy, it's really a function of good expense management. And Tim can talk to it a little bit more, but last fall, we started -- not started, but we really focused in on reducing the expense base and the employee base to better match the revenue growth that we were experiencing. And so I think those programs have kicked in, and it's really been principally on the expense side, controlling that as new revenues are coming on board, and so that's allowed for the margin to expand.
Betsy Graseck - Morgan Stanley, Research Division: Okay. But even your gross margins have extended as well if I'm just looking at fees over AUC.
Gerald L. Hassell: I'm sorry, can you repeat it?
Betsy Graseck - Morgan Stanley, Research Division: Even gross margins have expanded recently if I'm looking at fees over AUC.
Gerald L. Hassell: Yes, higher margins.
Thomas P. Gibbons: Yes, if you notice that our assets under custody are up about 3% sequentially. And I think you'll see out that our revenues are up about 6% sequentially in Asset Servicing. So Tim, you might want to comment on that.
Timothy F. Keaney: Yes, Betsy, it's really a mix point. We've been talking about this now a few quarters in a row. We've been winning a lot of new business in middle-office outsourcing and transfer agency, which really aren't geared to AUC. I think you see the opposite kind of playing through in the year-on-year results, but it's definitely a business mix point that you're -- you have raised.
Operator: Our next question is from Cynthia Mayer with Bank of America Merrill Lynch.
Cynthia Mayer - BofA Merrill Lynch, Research Division: Maybe just to follow up on that briefly, I think you said that something like $30 million in the comp was from the upfront expensing of the equity awards. If all told, how much of the comp expense was seasonal?
Thomas P. Gibbons: Yes, I would say that's about what the seasonality was. I think that's -- it kind of nets out to about that number, Cynthia.
Cynthia Mayer - BofA Merrill Lynch, Research Division: Nothing beyond that, okay. And you mentioned also that you expect stable NII. Depending on -- or NIM depending on deposits. So what kind of trend are you seeing so far this quarter? And what do you regard as sort of a normalized rate or normalized level?
Thomas P. Gibbons: Yes, okay, I think normalized in this abnormal environment is about where we are. So in a 0-rate environment, it feels like about 130 to 135 type of range is what we could squeeze out of the NIM. But there are a lot of factors that will impact that, because if we see a shot, one way or the other, we could see balances grow. But if we don't see any meaningful change in behavior or any meaningful change in interest rates, our balance sheet seems to be behaving pretty stable at about this level, which is about where we closed to the third quarter -- it's about where we closed to the first quarter, I'm sorry.
Gerald L. Hassell: About $300 billion is the -- probably the average balance sheet size. The fourth quarter, we saw the spike in deposits when everyone was bleeding cash with us, and that's more normalized. So the $300 billion range in the net interest margin and this 130 to 140 is probably about right.
Cynthia Mayer - BofA Merrill Lynch, Research Division: Okay. And then just lastly, maybe on the issuer services post the sale of Shareowner Service -- the Shareowner business. Is that kind of a good run rate at this point?
Thomas P. Gibbons: Yes, that line is now issuer services. It's just 2 of our underlying business. It's Corporate Trust and DRs. And Karen Peetz, the head of that business, is with us. Karen, any comments there?
Karen B. Peetz: Yes, I mean, about half of the decline on the first quarter was corporate trust. About half was DRs. Corporate trust has to do with the markets, and the global debt markets were flat for the quarter, and the U.S. market, though, showed some improvement. It was up about 2%. And we also had 12 CLOs for the first quarter. So that was very encouraging. So in that business, we are very much looking to decrease expenses and manage risk. And in the DR business, of course, that's emerging-market-related, and it's also impacted by our corporate actions.
Thomas P. Gibbons: So there's just a little less corporate action there. So the...
Karen B. Peetz: Yes, and global M&A is down.
Thomas P. Gibbons: Cynthia, I'd say the DR business is pretty volatile because it's episodic with corporate actions, and so that's a little harder for us to forecast.
Cynthia Mayer - BofA Merrill Lynch, Research Division: Right, okay. And sounds like, overall, maybe cyclically depressed still a little bit. So could bounce back, but as you say, volatile.
Thomas P. Gibbons: It is. I mean, it's -- and it's a reflection of activity that's going on primarily in the emerging markets. Corporate trust is a reflection of what's going on in the debt issuance. And with the lack of a structured debt market, it's a little more challenging.
Operator: Our next question is from Ken Usdin with Jefferies.
Casey Haire - Jefferies & Company, Inc., Research Division: It's actually Casey filling in for Ken. Just a question, I guess, following up on the NII outlook. How much -- with the understanding that the balance sheet is probably at a right size, how much of the NIM improvement was due to just the excess liquidity drag coming off versus a slightly more aggressive investment strategy?
Thomas P. Gibbons: I'd say it's about half and half, Casey.
Casey Haire - Jefferies & Company, Inc., Research Division: Okay, got you. And then within expenses -- and there's a couple of specials within -- on the fee side, the investment income, obviously, was pretty high. And then on the expense side of things, the other line was pretty high -- due to the litigation expense. What do you see as kind of a good run rate going forward for these lines?
Thomas P. Gibbons: I think lower for both, hopefully.
Casey Haire - Jefferies & Company, Inc., Research Division: Okay. And then just lastly, on capital. The $1.16 billion for CCARs, are you looking to do that pretty ratably throughout the year? And then if you could share any thoughts as to why no dividend hike.
Thomas P. Gibbons: I'll take the -- when we submitted the CCAR, you do submit it on a quarterly basis, and our plan is to do it ratably throughout the course of the year and, actually, over the following 4 quarters, because now it does really stem into the first quarter of next year, so it's a continuous 4 quarters. In terms of the dividend hike, I mean, we had indicated at November that we'd be in the 20% to 25% range as a payout. And I think, we're -- given where consensus is, we're falling into that range. I don't know, Gerald, if you have anything to add.
Gerald L. Hassell: Yes, just a couple of quick comments on that. I think we were, as we are -- we tend to be relatively conservative in our approach to capital plan. When we submitted the plan, we did not want to break any ratios, even under a stressed environment. We also wanted to maintain that 20% to 25% payout for dividend and 60% to 65% payout in total, including buybacks. We were well within that -- within those numbers, even in a stress scenario. And I think it just shows the resiliency of our business model and the flexibility we have going forward. So time will tell on what we'll do beyond what the plan is today.
Operator: Our next question is from Howard Chen with Crédit Suisse.
Howard Chen - Crédit Suisse AG, Research Division: Just a follow-up on that fairly large buyback approval you have. Assuming just no more frictional deposit roll-off, when does leverage become a potential constraint again, as we saw a little bit when the market was choppier at the end of the year?
Thomas P. Gibbons: Yes, we're up to a 560 leverage ratio. So we're pretty comfortable with where we are right now. We can actually take on quite a significant increase in deposits. And so we build, I mean, as you can see, we're building even with this type of activity. So we bought back a lot in the first quarter and paid our dividend. We continue to build both tier -- Basel I and Basel III capital. So we think that's much -- going to be much, much less of a constraint for us on a go-forward.
Howard Chen - Crédit Suisse AG, Research Division: And given the world's just fragile, Todd, I mean, what is that kind of like leverage constraint or target that we should be thinking about in the back of our minds...
Thomas P. Gibbons: I'd like to see us keep it above 5.25 or so. We have gotten as low as 5, 5.2, 5.10, something like that.
Howard Chen - Crédit Suisse AG, Research Division: Okay, great. And then another one on the numbers. Apologies if I missed this in your remarks. But leasing and seed capital gains were elevated again. I know that's probably the core business. But could you just provide some more detail on all of that and maybe your outlook for the sustainability of that going forward?
Thomas P. Gibbons: Yes. In the other income line, you can see we've had some volatility that's probably been in the $60 million to $150 million type of range, depending on some of the one-off items like seed capital, the sale of Shareowners Services, the -- and we do from time to time as we're winding down our lease portfolio sell off some of those leases at a gain. I think the normalized, what's the normal in that line item? It's probably in the $80 million to $100 million range.
Howard Chen - Crédit Suisse AG, Research Division: Okay, great. And then just final one for me. As the statute of limitations is ending here, it appears we're seeing some more mortgage-related lawsuits for the industry targeted at more the trustee rather than the originator. Gerald, I know you've made some fairly strong statements on all of this at the Investor Day. But I'm just curious if you had any evolved thoughts on that and how you all are preparing for some of this that's coming down the industry pipeline.
Gerald L. Hassell: Yes, no, we continue to feel very good about our position as trustee as these cases have been going through the process. As you may have seen, we got a favorable ruling here in the state of New York around the BofA settlement. I think it endorsed, again, our role as trustee and the limitations of our liabilities. So we still feel quite good about our position as trustee in these situations.
Operator: Our next question is from John Stilmar with SunTrust.
John W. Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Just one quick question for you. Obviously, deposit outflows have been persistent across the space. I was wondering, given your vantage point, have you any sense as to where those flows are moving back into? I mean, obviously, we've seen some volumes trying to move into equities, and there's a general re-risking theme. But are most flows moving back into 2a-7 funds? Or where does this capital that's been sloshing around the system that's sitting on your balance sheet, where does it kind of ending up today?
Thomas P. Gibbons: , I'd say, generally, it is a re-risking theme, John. Let me turn this one over to Curtis Arledge, our Head of Asset Management. Curtis?
Curtis Y. Arledge: Yes, we've definitely seen flows out of those deposits and money funds generally moving back into re-risking. Flows have been into international equity markets and bond markets. So there's definitely been a theme of investors who are re-risking being more diversified in their approach. It's hard to know exactly where deposit flows and money flows go. But from AUM flows, there is some re-risking going on.
John W. Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: And then, given the fact that you have your strong position with your clients and the balance sheet, there's always a debate about whether the custodians have the ability to potentially cross-sell their asset management business to some of those deposit bases. How would you say your ability to retain those deposit outflows from the balance sheet back into sort of some of your Bank of New York asset management businesses? Can you talk about where those funds might have been recaptured and that as a potential opportunity to grow the asset management AUM or prepay AUM?
Curtis Y. Arledge: Yes, I mean, we obviously, have clients that have relationships across many of our asset management boutiques. And when they have a relationship with us and they also use our money funds or our deposits to hold cash, we're always talking to them about their holistic needs, whether they are positioned well against their liabilities, do they have the appropriate amount of diversification, again, around their global portfolios. And I'd say we're actually making real progress. It's one of -- I'd say it's one of the biggest opportunities for us as a company is to continue to mine the holistic relationship. Clients can hold cash with us. They can also invest across a wide array of equity and fixed-income products. We're going to be announcing later this week a new head of our client distribution function, really to continue to work very closely with the investment services team around broad relationships, and so I think it's a really big opportunity for us.
John W. Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Would you say that the progress now is better than it was maybe a year ago in terms of being able to capture that [indiscernible]?
Thomas P. Gibbons: Yes, absolutely, yes.
Gerald L. Hassell: Yes, John, I'd just add on to that. I'm quite encouraged with how the teams are collaborating across the businesses and really focusing on the client and the client needs and whether it's investment management providing products for those who are looking to invest their monies or a variety of different other services that we offer to our clients. I just think we're really working much better together across our businesses, and at the seams of our business is to provide solutions to our clients.
Operator: Our next question is with Brian Bedell with ISI Group.
Brian Bedell - ISI Group Inc., Research Division: Todd, you were talking about the excess deposit trends and potential impact of regulatory changes on that. Could you just elaborate a little bit more? And also the non-interest-bearing deposits obviously declined a lot on a period-end basis. Do you think that's sort of just noise? Or is that indicative of a substantial downward direction into the second quarter?
Thomas P. Gibbons: Sure, Brian. Why don't I start with the last question. I think the period-end point was really a spike, and it was a spike in the fourth quarter, and that was mostly noise. I think there was a little bit of a move into risky assets, as we just discussed. In terms of the -- looking out, I mean, there are a couple of things to look at that could have different impacts, I would say, on the deposit base. One would be if there is a significant -- if the rating agencies significantly downgrade other financial institutions, we may see more deposits directed here. Another item is what I mentioned, regulatory reform, both money market reform and, for that matter, FDIC insurance. So depending on what happens, whether there's an extension of the significant FDIC insurance that exists today, that could be -- could go either way for us, since we're so -- since we have such a strong balance sheet, we could end up seeing more deposits, or you could see the deposits moving elsewhere into some other lower-risk type of assets, such as treasuries. In terms of money market reform, you could -- depending on how significant it was, obviously, that will take some time. You could see a move out of money markets into the deposit base. So there's a lot of uncertainty and variables that -- which is what I was alluding to there.
Brian Bedell - ISI Group Inc., Research Division: Okay, great. And then on the money fund reform, you wouldn't see any impact in that to at least 2013, I would think. Is that what you're understanding also?
Thomas P. Gibbons: Yes. Curtis, you might be in a better position to answer that.
Curtis Y. Arledge: Yes, no, I think that we -- 6 months ago, I would have thought that there might have been something in place by the end of the year. As all of you have read, the SEC proposals or suggested proposals, they're still, I think, discussing with themselves exactly what they're going to put out. So I do think it's going to be more of a 2013 implementation here. Obviously, there are other regulators besides the SEC that are focused on this. So we do think that something is forthcoming. But I think the industry has definitely helped the regulators understand the dynamics of floating NAV, the challenges that, that would create, both operationally and really limit the convenience of the product. And so there's a lot of active dialogue going on, as you well know, but I think it will take the rest of this year, really, to figure it out.
Brian Bedell - ISI Group Inc., Research Division: Okay, great. And then a question for Tim on the -- on Asset Servicing. Obviously, the growth's pretty good at 6.5%, linked-quarter. Can you describe what contribution came from broker-dealer services in terms of the growth? Or was that mostly really driven by the mix shift that you alluded to as converted over the middle office? And then the new business that you are still bringing on this, the $400-plus billion still yet to be converted, how should we think of that from a revenue capture rate relative to your overall capture?
Timothy F. Keaney: Yes, Brian, I would say overall, broker-dealer services was a small portion of the story. I think it's absolutely a net new business and flow story. I think Todd might have mentioned the $450 billion still to convert. We converted just over $300 billion in the last quarter. We expect to convert what hasn't been converted in the next 3 months, and it's an excellent mix of business. It's good, solid, core fee business in middle office outsourcing custody and transfer agency. And I think as we've talked about before, that's really sticky business.
Brian Bedell - ISI Group Inc., Research Division: Okay, great. And the 70% success rate that you mentioned. Can you just define exactly what that is? Is that 70% retention or success relative to your objective?
Timothy F. Keaney: Yes, the 70% of the clients have agreed to the repricing, Brian. And of the clients that haven't yet, that doesn't mean they won't. A very small majority, a very small number of the clients, pardon me, that have said they're leaving us actually haven't told us whether or not they found a custodian to take the business. So it's 70% have accepted our new pricing. And as I mentioned, we're only halfway through that 700-client base. So it's still early days. And I'm just reminded to say it's a very different story at the high end of the business. So the largest clients that are multiproduct that are in the securities lending and foreign exchange program, it's still very, very price-competitive.
Brian Bedell - ISI Group Inc., Research Division: Great, okay. That's very helpful. And just a couple of housekeeping ones. The level of discount accretion on interest revenue in the quarter and also the money fund fee waivers on pre-tax income?
Timothy F. Keaney: Yes, the accretion was down a bit to about $80 million on the quarter, and that's probably about where it should run for the next few quarters. And the fee waivers were just about flat with the fourth quarter, maybe slightly improved. And that's costing us somewhere between $0.05 and $0.06. It's kind of in the middle of that, Brian.
Brian Bedell - ISI Group Inc., Research Division: Is that $70 million, about, approximately?
Timothy F. Keaney: It's actually a little bit higher than that.
Brian Bedell - ISI Group Inc., Research Division: Closer to $90 million?
Timothy F. Keaney: Yes.
Thomas P. Gibbons: Closer to $90, Brian.
Timothy F. Keaney: $90 is [indiscernible].
Operator: Our next question is from Glenn Schorr with Nomura.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: Can we go back to asset management just for a sec and talk about what products are just bringing in the money? You noted the last -- what, 10 quarters in a row of positive, long-term flows. It seems pretty consistent. Can you just talk about what the greatest asset gatherers are?
Timothy F. Keaney: Yes. And actually, I think it's really important to understand the composition of the flows, because -- too often, I think we use AUM as a blunt instrument to describe what's going on. If you go back to a year ago, first quarter of 2011, a lot of the flows were very much index-oriented and fixed-income-, sort of low-fee-oriented. So we actually had a $31 billion positive flow a year ago and it generated about $26 million in net annual revenues. The flows have definitely shifted more toward active mandates, again, with an international flavor. Both international stock and international bond flows have been favorable. And then within bond flows, we've seen more of a move to emerging market debt. That's true for us. I think those trends are generally true for the industry. We are well-positioned. We have good performance, good investment teams in those categories. So the flow numbers are not necessarily as big. The $7 billion of long-term flows this quarter actually generated more net annual revenues. So I really do think it's important to understand both the AUM and the net revenue composition of the flows. And again, I think it's too early to say that people are re-risking aggressively, but there absolutely is a shift away from more passively conservative-oriented products to investors, thinking that at least some of the chaos and volatility is behind them and they are putting money back to work, maybe to eventually earn a return, and in a low-rate, low-return environment, they are deploying more capital.
Gerald L. Hassell: And I'd say, Glenn, just add to it. Again, the beauty of our business model is we have a whole series of boutiques with a variety of different investment strategies. And so as people shift their thought process to different types of asset classes, we're able to capture those flows and internalize it.
Timothy F. Keaney: One of the -- maybe one other point I would make is that there definitely is also a trend away from investors buying products, and they are definitely looking more for solutions. The types of investment offerings that we have that appeal to them really are in the absolute-return, asset-allocation, real-return categories. So I mean, the balance fund of old is, in many ways, making a comeback as investors really are spending more time looking at their liabilities and trying to find a solution that is well-matched to it. And again, we have a number of investment offerings there. I'd actually say it also fits BNY Mellon well as a firm. The clients are trying to figure out what is my overall solution? They're actually asking who understands my overall needs? And when you have a large institution where you are both their asset servicer and manage a lot of their assets, you tend to be one of those people who really does have a holistic perspective on the entire client issue.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: All right, I appreciate that. The $60 million increase in litigation cost. Is there any allocation you can give us towards what that's for? I know Howard pointed out some of the ongoing mortgage issues, but you also have that STARS case picking up steam.
Thomas P. Gibbons: Yes, there's -- no, Glenn, we really -- I don't think it would be in our interest to disclose which items any of the provisions are related to.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: Okay. And on that front, my gut it's the same answer, but have you given us a number on what your total litigation reserve is right now?
Thomas P. Gibbons: No, we have not.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Okay. And then just making sure, on the STARS tax case, there's no reserve against that, correct?
Thomas P. Gibbons: No, we have not indicated what our provisions are. But we do give a very clear indication with what the potential risk to us is on STARS. By the way, that trial just began this week, and we continue to believe we've got a very strong tax position there.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: Okay. Last one, the jump-up -- this is not a this-quarter issue but just more making sure. The jump-up from Basel I risk-weighted assets to Basel III, it's bigger for you guys than a lot of other companies. Is that just the low-rated securities in the investment portfolio that eventually run off?
Thomas P. Gibbons: Yes, it's really -- there's 2 contributors there. We have a little higher operational risk, I would think, than average. But by far, the largest contributor is the treatment of the sub-investment-grade securities portfolio, and that portfolio was almost $4 billion. It's attracting about the equivalent of $50 billion of risk-weighted assets. So that's burning off a few billion dollars of risk-weighted assets a quarter.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: Got it. And obviously, that's incorporated into the capital plan CCAR process?
Thomas P. Gibbons: Yes.
Gerald L. Hassell: That's correct.
Operator: Our next question is from Andrew Marquardt with Evercore Partners.
Andrew Marquardt - Evercore Partners Inc., Research Division: Back to the margin. Can you just remind me, apologies if I missed it, the amount of excess deposits that you guys are thinking about that are still sitting on your balance sheet? How do we think about that potentially in a more normalized environment?
Gerald L. Hassell: Well, again, I think we are in a more normalized balance sheet environment. We have to remind you all that right at year end last year, we had a significant spike in deposits, as everyone was in a risk-off mode. We probably had $20 billion to $30 billion of "excess deposits" right at year end. That has more normalized and burned off, so to speak, and we're running at an average balance sheet in the $300 billion range, and that feels about normal for us, given our client activities.
Andrew Marquardt - Evercore Partners Inc., Research Division: Okay. And then you had mentioned that the discount accretion this quarter was about $80 million and that should hold for the next couple of quarters. After that, will that trend lower? Or how do we think about that?
Thomas P. Gibbons: Yes, the -- that's probably got about a -- it will slowly trend lower as you see prepayments in that portfolio. So you can pretty much just look at it as a yield adjustment on a portfolio at a little -- that's now a little over $3 billion, and that's probably amortizing at about 20% per annum. So you can just look at it that way, Andrew.
Andrew Marquardt - Evercore Partners Inc., Research Division: Okay, great. And then you had mentioned the normalized margin in an abnormal environment is now 130, 135. Remind us the normalized -- in a normalized environment, should that still be in the 160, 180 that you had mentioned at your Analyst Day?
Thomas P. Gibbons: I think it would be, Andrew. That's our best guess. There's probably still some deposits here, some free deposits that are here because of this "extremely low interest rate" environment. That if we do go into a normal environment of a "couple of hundred basis point" Fed funds rate, we'd see a little smaller balance sheet, but we'd see a heck of a lot higher yield on it.
Andrew Marquardt - Evercore Partners Inc., Research Division: Got it. And does that include or exclude the discount accretion benefit?
Thomas P. Gibbons: You can -- it would -- basically, before I think we're going to see that environment, that discount accretion is going to have burned off. So I think we can pretty much the -- what we tried to point out in November is we're adding -- we're putting some assets to work at enough yield to offset the discount accretion burn-off.
Andrew Marquardt - Evercore Partners Inc., Research Division: Got it. That's helpful. And then just lastly, in terms of the expense initiative that's gaining traction, how do we think about the ability to achieve positive operating leverage this year in still what is still a tough revenue environment? Is it possible to get positive operating leverage with that new initiative in this environment?
Gerald L. Hassell: It certainly is our goal. And just as we laid out for you in our Investor Day in November, even in a slow-growth environment with the kicking-in of our initiatives, we expect to produce positive operating leverage over the course of the year.
Operator: Our next question is from Greg Ketron with UBS.
Gregory W. Ketron - UBS Investment Bank, Research Division: Just a couple of questions. One on -- in general, you've touched on this a couple of times this morning, but pricing overall. As you have built a very nice pipeline, we've heard a couple of people talk about looking at pricing and trying to improve the pricing that exists out in the marketplace. Are you seeing any better pricing as you move forward on bidding on contracts?
Thomas P. Gibbons: I'll take this real quick, and then we can turn it over. The -- of our businesses, the one that's getting the most attention in regard to pricing is Asset Servicing. We're not seeing a lot of pricing pressure or noise elsewhere. So for us, our Asset Servicing business is 25% to 30% of our business. And I think that's gotten the most volume on this topic. So Tim, you want to address it further?
Timothy F. Keaney: Sure, Todd, I think I just -- maybe at the risk of repeating myself a little bit. I think on the very largest end of the market, the very large clients by asset terms that are looking to leverage a number of our products and services, including securities lending and foreign exchange, it's just still really competitive. But for us, it's about trying to do more business with those firms, given the range of products and services that we have. I have seen a bit more pricing pressure when you get to smaller clients and unbundled clients. So I think that's probably the best way to characterize it at this point. And if there's an area where there might be still a little bit of pricing and rationality, I would say, it's just generally in the public fund sector. And as we've said before, we're just staying incredibly disciplined, making sure that every client, no matter what size it is, is hitting our minimum profit thresholds. And if that means we lose a couple of clients, we lose a couple of clients.
Gregory W. Ketron - UBS Investment Bank, Research Division: Okay, great. And then if we can get an update on the asset sensitivity. You had mentioned the fee waivers have reached maybe close to $90 million a quarter.
Thomas P. Gibbons: Yes, the -- it is a little higher than we had indicated in the past. What we had indicated historically for the past number of quarters here is that 100-basis-point immediate shift in short-term interest rates would have something like a $500 million pre-tax income impact to us, assuming there wasn't a significant change in our client behavior. That number is probably a little higher now. It's probably over $600 million.
Gregory W. Ketron - UBS Investment Bank, Research Division: Over $600 million, up 100 basis points?
Thomas P. Gibbons: Yes.
Gregory W. Ketron - UBS Investment Bank, Research Division: Okay. And would that just be the revenue impact? Or would that include also any related expenses like comp on the higher revenue?
Thomas P. Gibbons: Greg, that includes our best guess at related expenses. That's pre-tax.
Operator: Our final question today is from Jeff Hearte with Sandler O'Neill.
Jeffrey Harte - Sandler O'Neill + Partners, L.P., Research Division: On the FX, a theme we have been hearing from kind of bank FX trading operations has been a lot of margin compression in developed markets, but things going a little better in the emerging markets. Can you talk a bit about to what extent your franchise touches the emerging markets versus being very developed-market-centric in FX trading?
Gerald L. Hassell: Yes, we provide FX services across all the markets, the developed and emerging, to a pretty broad-based client base. And therefore, we do trade and provide capabilities across all the markets. And I think that's one of the reasons why when we describe a decline in volatility why it impacts us the way it does. And as Tim mentioned earlier, we're continuing to address the market demands and provide services that meet their needs. And it's not surprising with a low-growth environment for everyone across the board and slow economies that this kind of activity is viewed very, very competitively. So our job is to try to capture as much volume that touches us as humanly possible and to be sensitive to client demands.
Timothy F. Keaney: Yes, Jeff, we cover over 100 markets, so our revenues are very client-focused. So it depends on our -- what the business activity our clients is, and that's what's driving our revenues. But we do cover just about every conceivable market.
Jeffrey Harte - Sandler O'Neill + Partners, L.P., Research Division: And to the extent you cover non-, say, developed markets, is that a function of where client assets are? I mean, the FX is theoretically largely tied to asset under -- your asset under custody clients.
Gerald L. Hassell: That's exactly right.  Well, thank you very much, everyone, for joining us this morning. If you have any further questions, please give Andy Clark or [indiscernible] a call. And we appreciate you dialing in. Have a good morning.
Operator: Thank you. If there are any additional questions or comments, you may contact Mr. Andy Clark at (212) 635-1803. Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating.